Operator: Thank you for standing by, and welcome to Brilliant Earth’s Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the call over to Colin Bourland, Vice President of Strategy, Business Development and Investor Relations. Please go ahead.
Colin Bourland: Thank you, and good afternoon, everyone. Welcome to the Brilliant Earth fourth quarter 2024 earnings conference call. My name is Colin Bourland, Vice President of Strategy, Business Development and Investor Relations. Joining me today are Beth Gerstein, our Chief Executive Officer; and Jeff Kuo, our Chief Financial Officer. During the call today, management will make certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially. Please refer to our SEC filings for a description of the risks that could cause our actual performance and results to differ materially from those expressed or implied in these forward-looking statements. These forward-looking statements reflect our opinion only as of the date of this call, and we undertake no obligation to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events unless required by law. Also, during this call, management will refer to certain non-GAAP financial measures. A reconciliation of Brilliant Earth’s non-GAAP measures to comparable GAAP measures is available in today’s earnings release, which can be found on the Brilliant Earth Investor Relations website. I’ll now turn the call over to, Beth.
Beth Gerstein: Good afternoon, everyone, and thank you for joining our Q4 and full-year FY ‘24 earnings call. I’m pleased to share that we had a strong finish to 2024, delivering solid performance and setting us up well for 2025. We achieved Q4 net sales at the high-end of our expectations, and our Q4 profitability far exceeded our guidance, marking our 14th consecutive quarter of profitability as a public company. This is a direct result of our disciplined execution and our commitment to building sustainable value over the long-term. Let me walk you through our key financial highlights. We delivered Q4 net sales of $119.5 million at the higher-end of our guidance range, representing a 4% decline year-over-year. For the full-year, net sales reached $422.2 million a 5% decline year-over-year. Total orders grew by 10% year-over-year in Q4, contributing to a 7% year-over-year growth for the full-year. Notably, repeat order growth outpaced total order growth with repeat orders growing 18% year-over-year in Q4 and 17% year-over-year for the year. This trend reaffirms the resonance of our strong brand and compelling product designs. As more consumers discover our joyful shopping experience, it’s gratifying to see them returning time-and-time again, especially in a peak gifting quarter. We expanded our gross margin by 90 basis points year-over-year in Q4, and a robust 270 basis points year-over-year for the full-year. Our strong gross margin reflects our premium brand positioning. Our nimble approach to marketing continued to yield results. In Q4, marketing expenses as a percentage of net sales saw leverage of 340 basis points year-over-year with 100 basis points year-over-year improvement for fiscal year ‘24. This was achieved one year ahead of our goal of driving leverage starting in 2025, and it demonstrates the ability of our agile ROI-focused allocation of marketing spend to drive efficiency and topline performance. We delivered $6.9 million in adjusted EBITDA in Q4 or a 5.8% adjusted EBITDA margin, a performance that significantly exceeded our guidance. For fiscal year ‘24, we achieved $21.1 million in adjusted EBITDA, or a 5% adjusted EBITDA margin, again highlighting our ability to deliver profitability and capture efficiencies even as we make long-term strategic investments in the business. In our last call, I told you how excited and prepared we were to bring our brand to life for the holiday season. I’m happy to say that performance exceeded our expectations with sequential year-over-year bookings improvement as we move through the quarter. And, we were pleased with our results and execution during Cyber Week, both online and in our 40 showrooms. In fact, Black Friday was our biggest day of bookings in company history, underscoring the strength of our execution in one of the most competitive periods of the year. These results are particularly gratifying in what was a highly promotional environment and, again, demonstrate our ability to leverage our agile business model to drive high-quality revenue. Turning towards engagement rings, we were encouraged with our best year-over-year units comp in Q4 compared to prior quarters in the year. We believe that the trajectory of our bridal business can be improved over last year as we amplify our brand with continued success in differentiated designs, diamond leadership, and an industry-leading omnichannel experience. In fact, our signature engagement ring collection shined in Q4, delivering year-over-year bookings growth that outpaced the overall engagement ring business by double-digits, illustrating how our proprietary designs continue to be a premium differentiator for Brilliant Earth. Overall, engagement ring ASP was down in Q4 as we saw comparatively stronger performance in price ranges under $5,000 where we see some of the strongest consumer demand. And, we continue to see growth opportunities with our fleet of 40 showrooms and counting with year-over-year growth in showroom engagement ring units in the fourth quarter. Additionally, we continue to invest in growing our core bridal business, through our “Rethink Everything You Know About Diamonds” campaign focused on our diamond leadership, we launched the Flawless Collection, a curation of flawless or internally flawless diamonds, those with the highest grades in clarity, cut, and color. Less than 0.1% of the world’s diamonds are graded flawless or internally flawless, and even fewer are sourced to our exacting standards. The performance of this collection has been very strong and, again demonstrates customers’ trust and confidence in Brilliant Earth. In addition to continuing to build Brilliant Earth as a leading trusted brand, the Rethink campaign has resulted in over 1 billion earned media impressions to-date. Within wedding and anniversary bands, we delivered another quarter of year-over-year bookings growth with continued outperformance in men’s wedding bands. And finally, our fine jewelry assortment experienced another banner quarter, underscoring our ability to capture customers’ hearts during the holiday season. We recorded strong double-digit bookings growth in the quarter with December fine jewelry contributing a record breaking share of total bookings at 27%, an approximately 600 basis point expansion over December. Our fine jewelry results for the quarter were led by continued success in trend leading collections such as diamond tennis jewelry, key diamond essentials, including studs and hoops, iconic products from our Sol Collection, and the success of our Jane Goodall Collection. The Jane Goodall Collection has been our most successful fine jewelry collection launch to-date, and further reinforces our confidence in our long-term opportunities to grow in fine jewelry. In addition, we also doubled down on our strategy to expand our gifting options to respond to growing consumer demand across our assortment. We expanded our assortment priced under $1,000 ideal for gifting and self-purchase with resounding customer success during the holiday season. As we’ve discussed in quarters past, we’ve been growing our showroom presence while simultaneously elevating our retail experience overall. In Q4, we opened our first street-level location in New York City in the prime shopping neighborhood of Nolita as well as our Boston Seaport location. We celebrated our opening in Nolita with a launch event featuring the artist, Clym Evernden, and several influencer partners, which generated strong buzz and awareness. All three of our new locations in 2024 include our new Try-On Bar, featuring an expanded fine jewelry shopping format. And so far, we’re seeing promising results. In total, we had record fine jewelry bookings within our showrooms in both Q4 and 2024. Building upon our success in seasonal activations in Q4, we executed our most comprehensive holiday campaign ever, “Be Together, Be Brilliant” across our physical and digital channels, including visually compelling and high-performing physical and digital storefronts from our showroom windows to our homepage. We also generated strong engagement through our VIP Bridal partnerships in Q4. Together, these activations drove high customer engagement and elevated customer experiences in Q4. As we reflect on our accomplishments in Q4 and fiscal year ‘24, I’m proud of what we achieved in this highly dynamic environment and remain highly optimistic about our direction. Looking forward to 2025, we remain committed to driving sustainable long-term growth. This includes focusing on delighting customers by setting new standards with our omnichannel experience, offering premium distinctive products, investing in continued brand amplification, and continuing to capture data-driven operational efficiencies. As always, we plan to do so in a disciplined and responsible manner, being cognizant of the industry and macroeconomic environment. We are already making significant progress on our 2025 product innovation and brand amplification goals. We will continue to lead in design and innovation, building on recent successful collections, while further expanding our showroom footprint with two to three new locations this year, including our recently opened location in Southlake, Texas. We continue to draw on learnings from recent showroom openings and will be planning for the next phase of our expansion. These efforts, including enhancements like our Try-On Bars, will continue to create unforgettable customer experiences. We continue to operate in a highly dynamic environment encompassed by pricing shifts in both lab and natural diamonds, normalizing engagement trends, and changing trends in consumer sentiment. As we look ahead, we feel confident that our premium brand positioning combined with our ongoing investments will allow us to take advantage of any environment and achieve our goal of being the most loved and trusted jeweler for today’s and tomorrow’s consumer. Turning to our Q1 outlook, we anticipate Q1 net sales to be slightly down year-over-year, a slight sequential improvement to Q4. We continue to see improvement in sequential engagement ring unit trends with similar performance by price point as we saw in Q4. We also continue to drive robust growth across wedding and anniversary bands and fine jewelry and healthy overall order and repeat order growth. While the overall macro environment is dynamic, we remain confident that the investments we are making today and our ability to execute will drive future share gains and profitability. For the full-year, we expect net sales to be slightly up year-over-year with profitability slightly lower than in 2024 as we make targeted strategic investments that we expect will generate compelling returns in both the near-term and long-term. Before concluding, I want to extend my heartfelt thanks to the entire Brilliant Earth team. Their dedication and hard work have been instrumental in achieving these outstanding results. Now, I’ll hand the call over to Jeff, who will walk you through our financials and outlook for the year ahead in more detail.
Jeffrey Kuo: Thanks, Beth, and good afternoon, everyone. As Beth mentioned, we’re pleased to report a quarter where we continue to successfully drive our strategic initiatives, innovate, meet our topline expectations and far exceed our profitability expectations. Let me take you through the details for Q4. Q4 net sales were $119.5 million at the high-end of our guidance range, down 4% year-over-year and representing a sequential improvement over Q3’s year-over-year performance. Full-year 2024 net sales were $422.2 million or a decline of 5% year-over-year. Total orders grew 10% year-over-year in the fourth quarter and 7% year-over-year for 2024. In addition, repeat orders increased by 18% and 17% year-over-year in Q4 and the full-year 2024, respectively, demonstrating the effectiveness of our customer acquisition and retention efforts and the resonance of our brand and products with consumers. Average order value, or AOV, was $2,048 in Q4 and $2,269 in 2024. This represents a decline of 13% and 11% year-over-year in Q4 and the full-year 2024, respectively, as we continue to broaden and diversify our overall assortment, including in our fine jewelry collection and drive comparatively strong performance in bridal price ranges below $5,000 where we are seeing some of the strongest consumer demand. Q4 gross margin was 59.6%, a 90 basis point expansion over Q4 last year, and full-year 2024 gross margin was 60.3%, a 270 basis point expansion over full-year 2023. Our gross margin this quarter and for the full-year was again principally driven by our premium brand and proprietary products, our price optimization engine, procurement efficiencies and our enhanced extended warranty program. This gross margin strength is particularly rewarding as we maintain our focus on our premium brand positioning in an environment where others continue to lean into discounting and gold prices are at all-time highs. We delivered Q4 adjusted EBITDA of $6.9 million or a 5.8% adjusted EBITDA margin significantly exceeding our guidance range. Full-year 2024 adjusted EBITDA was $21.1 million or a 5% adjusted EBITDA margin. Our strong gross margin and prudent management of our marketing spend and other operating expenses all contributed to our strong profitability. Q4 operating expense was 57.6% of net sales compared to 57.8% of net sales in Q4 2023 as we continue to balance making investments to drive long-term growth with discipline in expense management. Full-year operating expense was 59.5% of net sales compared to 56.6% of net sales in full-year 2023. Q4 adjusted operating expense was 53.9% of net sales compared to 54.5% in Q4 2023. Full-year adjusted operating expense was 55.4% of net sales compared to 51.7% of net sales in full-year 2023. Adjusted operating expense does not include items such as equity-based compensation, depreciation and amortization, showroom pre-opening expenses and other non-recurring expenses. For Q4 marketing expenses, we maintained our disciplined approach and drove leverage of approximately 340 basis points as a percentage of net sales compared to Q4 last year, while still delivering net sales at the higher-end of our guidance and making investments in our brand. For the full-year, we drove leverage of approximately 100 basis points as a percentage of net sales compared to full-year 2023, which is one year ahead of our plan in the previously stated medium-term outlook where we expect it to drive marketing leverage in 2025. And, as noted in our medium-term outlook, we expect to continue driving marketing leverage in 2025 for the full-year. Employee costs as a percentage of net sales were higher in the fourth quarter by approximately 200 basis points as adjusted year-over-year. This includes growth in showroom employees, including from newly opened showrooms and other employee related accruals. For the full-year, employee costs as a percentage of net sales were approximately 290 basis points higher as adjusted year-over-year. We continue to manage these expenses in a disciplined and responsible manner. Other G&A as a percentage of net sales increased year-over-year by approximately 80 basis points as adjusted for the quarter as we continue to prudently invest in our business. This includes investments in showroom rent and expenses as well as technology. Other G&A as a percentage of net sales increased year-over-year by approximately 180 basis points as adjusted for the full-year 2024. Our data-driven, capital efficient and inventory light operating model continues to provide competitive advantages, and our inventory turns continue to be significantly higher than the industry average. Our year-over-year inventory grew by just 1% even with our significant growth in fine jewelry and a larger showroom footprint. Our lower risk, agile inventory model and strong balance sheet continue to differentiate us from the rest of the industry. We ended the fourth quarter with approximately $162 million in cash, which reflects a year-over-year increase of approximately $6 million even after reductions in debt principal balance, expansion of our showroom footprint and investments in technology to drive expansion and efficiency across the business. As Beth previously mentioned, we ended the year with a strong net cash position of approximately $106 million, a year-over-year increase of approximately $10 million and our highest net cash position since Q4 2021, which was shortly after our IPO. Our ability to generate cash further differentiates us from many others in the industry and highlights the benefit of our asset-light data-driven business model. Our financial strength allows us to continue to make prudent investments in the business to drive long-term growth. In Q4, we spent approximately $200,000 repurchasing our common stock. This takes our total spend on stock repurchases to-date to approximately $638,000 as of the end of Q4. We intend to continue using this program strategically while balancing our overall investment decisions, including consideration of factors such as trading volumes and our public float. Turning to our outlook for 2025 and beyond. We expect to continue making investments with a compelling ROI that set the stage for both near-term and long-term sustainable profitable growth in the context of a dynamic macro environment. Our outlook includes the assumption that the path towards a more normalized bridal market continues over the next few years and that the broader economic environment remains relatively unchanged. For the year, we expect that our net sales will grow year-over-year in the range of 1% to 3%. We expect adjusted EBITDA margin to be approximately 3% to 4%. We will continue to make medium-term and longer-term investments in 2025, including in employee costs and other G&A. We believe that these investments, including in our premium brand, product assortment and innovative omnichannel experience, drive compelling ROI and will begin to show returns starting in the second half of 2025 and beyond as we drive towards our previously stated medium-term target of a low-teens year-over-year net sales growth rate and double-digit adjusted EBITDA margin in 2027. We would also like to remind you of the expected seasonal cadence of our business given that the macro environment has affected the normal seasonal shape of the last few years. We expect that revenue growth for 2025 will be back half weighted with a mid-to-high single-digit year-over-year growth rate in the second half, driven by the investments we are making, the growth and annualization of our showrooms, a more favorable comp from Q3 2024 and strong fine jewelry performance, particularly in Q4. We expect that a little more than two-thirds of our adjusted EBITDA will come from H2 given our progressive sequential revenue growth and that we don’t expect significant seasonal incremental employee and other G&A costs, which we expect will allow us to capture higher adjusted EBITDA margins in H2. For Q1, we expect that our net sales will be in the range of $93.5 million to $95.5 million, and we expect adjusted EBITDA to be between breakeven to $1.5 million. In closing, our premium brand and differentiated business model, including our data-driven decision making, seamless omnichannel platform and asset-light structure demonstrate our ability to deliver profitability and achieve our strategic and financial objectives in a variety of different environments. Our performance in the fourth quarter reinforces our ability to execute and capitalize on the opportunities that drive long-term sustainable and profitable growth. With that, I will turn the call over to the operator for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Ashley Owens of KeyBanc Capital Markets. Please go ahead, Ashley.
Ashley Owens: Hey, good afternoon, and thanks for taking our questions. Maybe just to start, if we could touch on gross margin guidance for the year, what you’re embedding for that in 2025, and if there’s anything to comment regarding contributions from fine jewelry with the normalization of engagement if that’s shifting the mix at all and deleveraging the gross margin line closer to that high-50s? Just any color there you could provide.
Jeffrey Kuo: We’re continuing to for the medium-term model and that includes this year a guide to a high-50s gross margin, as you pointed out. And, that’s going to be driven by same factors that have been driving our strong gross margin that we’ve had, including the strength of our brand, our proprietary and differentiated product, continuing to optimize our price optimization engine, procurement efficiencies and factors like we’ve been able to leverage before. So, I think that we continue to believe that we have a lot of strengths that will allow us to capture that strong gross margin and that extends across engagement, wedding and fine jewelry.
Ashley Owens: Okay, got you. And then, quickly to follow-up, I know we touched on this a little bit last quarter too, but just really strong momentum within that repeat order growth still and that’s been a strong point for you guys for some time now. Looking at 2025, maybe if you could touch on anything you’re doing strategically to continue to drive that repeat order, whether it’d be more collaborations or expanding the fine jewelry assortment? And then additionally, with the consumer environment remaining shaky, what levers you can pull to bring in and really attract that new customer base as well?
Beth Gerstein: Great. I’m happy to address that, Ashley. So, as it relates to how we think about repeat, we’re really pleased with the strong repeat order growth that we’ve seen. Part of this is just due to the brand resonance that we have with our customer base as well as the very strong customer experience that we’re delivering and then continuing to invest in. As it relates to our assortment, we continue to introduce new and compelling collections. I mentioned our Jane Goodall Collection introduction being the strongest launch that we’ve had as a company. So, clearly, I think the compelling assortment coupled with the really nice marketing campaigns that we’re supporting those assortments with has been very effective. I think we’re going to continue with this playbook. We’re seeing very strong fine jewelry growth and continuing to create a very curative assortment for our consumers and making sure that we couple that with great showroom experiences and seeing really nice compelling growth from our fine jewelry in our showrooms. I think all of that is contributing to the very strong repeat order growth that we continue to expect to see in 2025. Now, as it relates to how we think about acquiring new customers, I think this is something that, we think of from a variety of different angles. One, how do we think about driving marketing efficiencies? And I think the fact that we have marketing leverage and continuing to see that leverage is a testament to a lot of the activity we’re doing behind the scenes, just that data-driven, very efficient use of our marketing spend. And, we’re continuing to just to be the compelling brand for this generation and the next generation. So, continuing to make sure that we have compelling influencer opportunities. I talked about VIP brides in my earlier remarks, but continuing to have big social moments, which is really where our customers are right now.
Ashley Owens: Okay. Great. I’ll pass it along. Thank you.
Operator: Thank you. Our next question comes from Oliver Chen of TD Cowen. Please go ahead, Oliver.
Oliver Chen: Thanks so much. Hi, Beth and Jeff. Regarding the guidance of plus one to three, your longer-term guidance calls for low-teens. Just would love your thoughts on what might get you there over time. And related to that is what are you seeing with engagement trends and what’s embedded in that guidance? And as we model the year ahead, would love the color on average order value relative to order count would be great too. Thank you.
Beth Gerstein: Sure. So, maybe I can start a little bit with engagement ring trends. While we still believe it’s going to be a multi-year normalization, we’re happy to have our best year-over-year unit comp in Q4 compared to prior quarters in the year. We also had good year-over-year unit growth in showroom engagement rings in Q4 from units. So, I think we’re starting to see that normalization. We continue to see improvement in sequential engagement ring unit trends in Q1 to-date, with similar performance by price point as we saw in Q4. So, I think very promising trends overall. I think as it relates to what’s going to drive our growth, we have a lot of conviction in the overall strategy where we are investing in our showroom growth for the future, investing in our fine jewelry growth and the compelling products that we’re known for, and continuing to invest in being the premium brand and the most loved jeweler for our consumer base. So, all of those are going to drive our growth, and we’ve seen very strong growth as it relates to non-engagement. And we’re going to continue to lean in there and continue to invest in bridal, which is really the entry point for our consumer base. Jeff, do you want to talk about AOV? I think that was the last question that Oliver had.
Jeffrey Kuo: Sure. Thanks, Beth. Hi, Oliver. So with respect to AOV, I think this is something that we do expect to see moderate over time with the success that we’re having in fine jewelry in particular. I think that’s just a factor that we expect will continue to be a strategic driver success factor for us. We’re having the growth in orders in fine jewelry. And as you know, fine jewelry orders tend to have a lower average order value. And so this is something that is expected and it is concurrent with the success that we’re having in fine jewelry. So, we do expect that AOVs will continue to moderate over time as we’re driving that success in fine jewelry.
Beth Gerstein: And the only other thing I would add is, as it relates to bridal the we are seeing strongest demand below $5,000 And so that’s the customer demand that we’re seeing, and that’s another contributing factor.
Oliver Chen: Okay. One quick follow-up. You have a really strong physical showroom experience as well as a digital first experience. But what are your debates in terms of different puts and takes on the margin profile of the speed of physical showroom rollouts, and what decisions you’re making? And finally, this is pretty open ended, Beth, but what are features you think are less appreciated about the investment story that should be more appreciated?
Beth Gerstein: Great. So, as it relates to physical and digital, I think that we continue to believe there’s a lot of opportunity as this premium omnichannel provider. And as it relates to how we think about physical rollout, we’re being very strategic about the locations that we are investing in. We’ve always been very data driven, but continuing to focus on delivering that exceptional customer experience. And that’s something I’m really excited about this year, particularly, is innovating with the customer experience in the big install base that we have with the over 40 showrooms. So, I think we’re just trying to be, very deliberate about our decision making, but continue to see really nice opportunity in both physical and digital and think that it’s really the combination of both that makes us so special. In terms of what’s not appreciated in the investment story, we continue to deliver profitability. It’s the fourteenth consecutive quarter. The cash balance that we have is the highest it’s been, as we mentioned since really early days of going public. So, I think perhaps the investments that we’re making coupled with the profitability is something that not everyone is completely appreciating and just the brand resonance that we have. So, I think the opportunity we have in fine jewelry is something we’re really excited about, and the experience that we have that’s so differentiated from our peers is also very, very compelling. But those are a few of the, I think, what makes us very special and perhaps isn’t quite as appreciated in the investment community.
Oliver Chen: Thank you for that. Best regards.
Beth Gerstein: Thanks.
Operator: Thank you. Our next question comes from Dylan Carden of William Blair. Please go ahead Dylan.
Dylan Carden: Thank you. Really impressive marketing leverage here. And I’m kind of just curious, it sounds like you kind of came in or did come in even ahead of some of your own expectations there. Can you just kind of unpack that, if there’s been a shift in strategy or cost? And I’m curious if it plays a part in some of the better retention metrics that you’re citing and have been citing. Has there been sort of a shift to more for retention versus acquisition? I’ll leave it there. Thanks.
Beth Gerstein: I wouldn’t say it’s necessarily a shift. I think that we’re constantly optimizing as it relates to the marketing efficiency. I think the fact that we have a very data driven approach, the fact that we have diversified channels within our marketing mix, and the fact that we have invested in our social media platforms, all of that has I think, provided us with nice efficiencies. In addition to that, the showrooms themselves are nice drivers to, improve the marketing efficiency. So, I think it’s everything combined, the strong repeat rate, the brand resonance is creating nice leverage, and it’s something we watch very closely. We’re very nimble, but we’re really proud of the fact that we’ve been able to achieve that, continuing to invest in quality revenue, not chasing unprofitable growth. That’s been kind of the behind the scenes as terms of what’s driving that.
Dylan Carden: And would you expect, I guess, I don’t know, similar levels of leverage, but how should we think about this year? You mentioned you’re investing behind growth, but you do have showrooms kind of ramping back up. Any color you can give us sort of how that line item might trend this year?
Jeffrey Kuo: Yes. So, we as you correctly stated, are looking at this year as optimizing that mix between making near and long-term investments that we think we have compelling ROI as well as still being cognizant of driving profitability. I think marketing is one of the levers that we have there, and we are looking to continue to build upon the success that we had in 2024 and continue that into 2025. So, we are guiding to continuing to expect to drive leverage in marketing for 2025 by some of the factors that Beth was just talking about. And then still that’s balanced with making investments in growing awareness of the brand. And so really continuing the playbook that we’ve had of profitability as one of our key guiding principles, but also making the investments that we think are the right things to do both for the near and the long-term.
Dylan Carden: Great. And then last one for me. The shift in here about I think historically or in the last year or so, it was strengthened kind of the 10,000 and above sort of engagement ring categories and now you’re seeing strength below five. Is that actually just indication that you’re seeing a broader recovery engagement because it’s not just a certain income cohort that’s coming into the category or what’s the best way to interpret that shift? Thanks.
Beth Gerstein: I think that that’s one potential hypothesis. Overall, the demand that we’re seeing under $5,000 is kind of a result of just the, you know, I think changing consumer behavior and we continue to see puts and takes quarter to quarter regarding consumer behavior. What I think is helpful for us is we have a very broad assortment and compelling assortment across different price points. So, we were happy to see that under $5,000 be comparatively stronger.
Dylan Carden: Great. Thanks a lot guys. Nice work.
Beth Gerstein: Thanks, Dylan.
Operator: Thank you. Our next question comes from Dana Telsey of Telsey Advisory Group. Please go ahead, Dana.
Dana Telsey: Hi, good afternoon, everyone. As you think about for the year and for the fourth quarter, your repeat orders in the fourth quarter up 18%, your total orders up 10% compared to 17% repeat orders for the year and 7% for total orders for the year. What are you seeing with the attachment rate of fine jewelry going to engagement or engagement going to fine jewelry with the repeat orders? And is there any shifts in demographics going on given the shift to fine jewelry in terms of whether it’s income level or guys versus women, men versus women, anything on that demographic profile and how that informs you for planning for AOV and total orders for the upcoming quarter and the year? Thank you.
Beth Gerstein: Great. Well, maybe I can start with the shift in terms of fine jewelry. I think that we haven’t necessarily seen a shift. We remain relatively small in a very big category here, and I think a lot of the efforts that we’re making resonate well with the customer base that we have as it relates to both gifting and self-purchase. And I think we’ve been leaning into that assortment under a $1000, having a really compelling trend forward assortment. Certainly, I think diamonds are highly coveted for everyday as well as those special occasions. And I think that we’re continuing to see nice AOVs within our fine jewelry category as we’ve been investing in the assortment. I’m not sure we have anything specific as it relates to attach with fine jewelry and engagement or vice versa. One of the things that we’re really pleased to see is strong repeat from fine jewelry to just buying additional fine jewelry and seeing people come back there, which I think will be a big driver in terms of the overall repeat.
Dana Telsey: Got it. And then the cadence of this year, any shift in cadence what you’re seeing either or what you expect, whether it’s with Mother’s Day timing or even Easter timing, anything in terms of how you’re planning with any changes in or read across this from last year with sales growth and operating and adjusted EBITDA profile?
Beth Gerstein: I think one, maybe Jeff, you can talk through some of the just different cadences with the quarters. But I think one thing to note is, obviously, the fine jewelry tends to be more concentrated around the holidays, and we’ve been performing really nicely across key holiday moments like the Christmas holiday, for example. So, that’s part of what’s informing how we’re thinking about the year. But, Jeff, I don’t know if you have, additional commentary there.
Jeffrey Kuo: Yes. I think with respect to cadence for the year, as I discussed during some of the remarks about how we’re thinking about, for example, H1 versus H2. I think we do expect that on the top line side, the growth will be more back half weighted, and that’s really driven by the investments that we’re making driving returns starting in H2, annualization and growth of showrooms and also kind of keeping in mind just some of the factors such as more favorable comp if you’re looking at Q3 specifically and that Q4 is a big fine jewelry quarter. And so I think that those are some of the considerations as we’re thinking about the shape of the year and how we’re planning.
Dana Telsey: Thank you.
Beth Gerstein: Thanks, Dana.
Operator: Thank you. I would now like to turn the conference back to Beth for closing remarks. Madam?
Beth Gerstein: Thank you everyone for your thoughtful questions. We look forward to talking to you in our next quarterly earnings call.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.